Operator: Good morning and welcome to the Premier Financial Corp Second Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. After today’s presentation there will an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Paul Nungester with Premier Financial Corp. Please go ahead.
Paul Nungester: Thank you. Good morning, everyone, and thank you for joining us for today's second quarter 2023 earnings conference call. This call is also being webcast, and the audio replay will be available at the Premier Financial Corp website at premierfincorp.com. Following our prepared comments on the company's strategy and performance, we will be available to take your questions. Before we begin, I'd like to remind you that during the conference call today, including during the question-and-answer period, you may hear forward-looking statements related to the future financial results and business operations for Premier Financial Corp. Actual results may differ materially from current management forecasts and projections as a result of factors over which the company has no control. Information on these risk factors and additional information on forward-looking statements are included in the news release and in the company's reports on file with the Securities and Exchange Commission. And now I'll turn the call over to Gary for his opening comments.
Gary Small: Thank you, Paul, and good morning to all. Thank you for joining us. On behalf of the Premier team I’m pleased to announce second quarter earnings of $1.35 per share with $0.68 of the earnings falling into the core operating category and another $0.67 a share resulting from a well-executed sale of our First Insurance Group agency. Coming out of our first quarter call, we shared our expectations for a more normalized quarterly call earnings range and our team worked very hard to deliver on that expectation over the quarter. First a comment on the First Insurance Group transaction. The genesis for the sale emanated from a strategic assessment of each of Premier's core business segments, taking into account earnings growth trajectory, effective capital utilization, and operating execution management. While the agency's financial performance has been consistently strong and currently on par with the industry, from a strategic perspective, we felt it would be -- we could achieve a higher return on capital and better position the agency to achieve its potential by pursuing alternatives in today's very dynamic agency valuation environment. The net result, an excellent bump in Premier's reported current earnings for the quarter, $1.37 increase in tangible book value per share, and all with no EPS dilution effect on a go forward basis. We improved capital and liquidity and we're well positioned to support future growth in our core banking businesses, a win on all fronts. I'll now move to Premier's banking performance highlights for the quarter. We continue to see commercial opportunities in the market, but are being very selective. We stay focused on supporting our existing clients along with targeted C&I opportunities. Annualized loan growth totaled in excess of 8% for the quarter on a -- and the commercial loan growth was 7% on the same annualized pace with C&I representing 49% of our new business origination during the quarter. Total deposits grew 3% in absolute terms with a slight drop in customer deposits over the course of the quarter. We continue to see migration of deposits to higher earning products consistent with the industry. We are having success in neutralizing the effect of prior deposit premium offers upon repricing, while at the same time attracting new money with higher rate offers, primarily in the time deposit category. The core non-interest income category was up 9.4% versus the second quarter of last year with wealth and deposit related fee income reporting high single digit increases. Targeted expense reduction initiatives are on track with full quarter effects on the redirections to be felt over the remainder of the year. Loan portfolios continue to perform well. NPA and delinquency numbers are in check, very much solid with the four quarter averages and we were in a net recovery position per net charge off perspective for the quarter. Consistent with expectations we set on our call last quarter, we engaged in hedging activity in early June which will provide a near-term boost to net interest income, while also protecting margin from unfavorable impacts of future Fed funds rate increases. We've also taken additional steps in right sizing our residential mortgage operation, given the continued softness of the business and doing so trims our expectations for balance sheet growth in the residential portfolio segment. Our unfunded construction commitments are down 70% versus this time last year. And with that, I'm going to turn it over to Paul for some more details.
Paul Nungester: Thank you, Gary. I'll begin by describing a couple important transactions during the quarter. First, on June 30, as Gary said, we completed the sale of First Insurance Group to Risk Strategies Corporation. This sale generated a significant gain of $36.3 million before transaction costs of $3.7 million and taxes of $8.5 million, representing $0.67 of EPS. The transaction strengthened capital by increasing tangible equity $48.8 million through the net gain and recovery of $24.7 million of goodwill and intangibles which added 54 basis points or a $1.37 of tangible value. We had a full quarter of operations in 2Q and going forward, the utilization of proceeds will effectively offset the agency's pre-tax earnings then become accretive as they are deployed into loans. Separately, we completed a series of balance sheet hedges during June to improve asset sensitivity and provide some protection against additional rate increases. These hedges were all pay-fixed/received variable swaps, including $250 million of two-year and $250 million of three-year. These swaps carry an average 4.12% pay rate and are expected to generate $4.7 million of annualized pre-tax net interest income as of June, 30. Going forward, each 25 basis point increase in SOFR is expected to generate an additional $625,000 of annualized pre-tax net interest income, including the net impact of these new swaps and our prior $250 million notional receive-fixed/pay-variable swap. Including the impact of all swaps we now estimate that each 25 basis point increase in the Federal funds rate could reduce annualized pre-tax net interest income by approximately $0.5 million based on our June, 30 balance sheet, compared to $1.5 million as of March, 31. For the balance sheet, capital levels improved significantly during the quarter in part because of the FIG sale. Tangible equity increased 8.4% in dollar terms, and our TE ratio improved by 52 basis points to 7.55% including AOCI or 9.6%, excluding AOCI. Our regulatory ratios also increased and they all continued to exceed while capitalized guidelines including the impact of AOCI. Credit quality was steady including a net decrease in criticized loans and net recoveries for the quarter. Total deposits increased by 3.25%, primarily due to an increase in broker deposits. We also experienced an impact from mixed migration during the quarter including a $155 million net decrease in savings demand and non-interest bearing deposits mostly offset by a $117 [ph] million increase in money market, time and public fund deposits as customers look for higher deposit yields. Total liquidity improved during 2Q with quantifiable sources increasing more than $360 million to $2.8 billion including $1.5 billion of FHLB borrowing capacity at June, 30. The increase was primarily due to successfully expanding our capacity at the Federal Reserve by more than $300 million in the second quarter via the borrower in custody program. Separately, our level of uninsured deposits declined to 31.5% or 17.3% when adjusting for collateralized deposits such as OPCS and other insured deposits such as the Indiana PDIF. As a result, our total liquidity was 230.5% of adjusted uninsured deposits at June, 30. Primarily due to the deposit mix migration I previously mentioned we experienced additional NIM compression during 2Q. Interest bearing deposit costs increased 38 basis points to 1.69% for 2Q, which was primarily due to higher utilization of broker deposits and increased rates for public ICS/CDARS accounts, money market accounts and time deposits as customers migrated for yield. Excluding broker deposits and marked secretion, average interest-bearing customer deposit costs were 2.08% during June for a cumulative beta of 37%, up from 35% in March compared to the change in the monthly average effective Federal funds rate, which increased 500 basis points to 5.08% from December, 2021. Net interest margin was positively impacted by the combination of previous loan growth and higher loan yields, which were 4.86% up 20 basis points from first quarter. Excluding the impact of PPP in March, loan yields were 4.89% in June, 2023 for an increase of 108 basis points since December, 2021. This represents a cumulative beta of 22% compared to the change in the monthly average effective Federal funds rate for the same period. However deposit costs outpacing loan yields led to the compression of net interest income and margin during the second quarter. Next, excluding the $36 million FIG gain, non-interest income was $17.1 million for 2Q up 36.8%, or $4.6 million from 1Q. This increase was primarily due to a lack of security losses and a $3.2 million increase in mortgage banking income primarily due to an increase in hedge valuations. Excluding $3.7 million of transaction costs for the FIG sale expenses were $40.8 million, down $2 million or 4.6% on a linked quarter basis, primarily due to cost saving initiatives we began implementing during the second quarter. For the full year, we now expect total core expenses of approximately $158 million, down $5 million from our prior estimate, including $6 million from FIG, offset by $1 million of other costs like higher FDIC premiums. Overall, we are pleased with our core performance in the second quarter. Excluding the impact of the FIG sale pre-tax pre-provision income increased $4.2 million or 16% on a linked quarter basis for a 1.41% return on average assets. Net income increased $6.1 million or 33.5% for 1.13% return on average assets, and EPS increased $0.17 or 33% to $0.68. As we look forward, positive momentum includes the deployment of FIG sale proceeds in the earning assets, the full impact of the swaps completed in June, and the continued execution of our cost saving initiatives. Headwinds include the continued inverted curve environment with the potential for further rate increases, additional deposit mix migration or runoff, and possible changes in the regulator front that could lead to increased costs such as even higher FDIC premiums. That completes my financial review, and I'll now turn the call back over to Gary for his closing remarks.
Gary Small: Thank you, Paul. I'll share some thoughts for the remainder of the year that will hopefully be helpful in your modeling work. I would stick with the average earning asset growth of 4%, which we set earlier in the year. I do expect the second half will be much less robust than the first half. Customer deposit growth, 2% range plus for the remainder of the year. We do expect some additional margin compression driven by our deposit mix movement, but a much more moderate quarter-to-quarter movement than we saw in Q2. Revised non-interest income figures adjust quarter three and quarter four downward by $4 million each to reflect the FIG transaction and revise expense expectations downwards by $5 million in total for the remainder of the year for the same rationale. I will note that without FIG as a part of the organization, our efficiency ratio improves about 240 basis points. From a loss provision perspective, we're expecting no more than 5 to 8 basis points in net charge offs for the remainder of the year. And with that said, operator we'll turn it over for questions.
Operator: Thank you. [Operator Instructions] So our first question comes from the line of Michael Perito of KBW. Your line is now open. Please go ahead.
Michael Perito: Hey guys, how are you?
Gary Small: Good morning, Mike.
Paul Nungester: Hey, Mike.
Michael Perito: Thanks for taking my questions. I wanted to start on just the -- kind of the incremental spread or margin, Gary or Paul, whoever wants to take a stab at it, but just kind of curious, you mentioned it doesn't sound like the balance sheet should grow a ton in the back half of the year, Gary, based on the earning asset guidance of 4% for the full year, it kind of suggests -- I really -- my rough math was pretty flat from here. So just wondering, I'm sure you're still going to be originating loans and trying to bring on new customer deposits, so just how do we think about kind of the incremental spread of what you're targeting for the back half of the year and then how does that kind of trickle down to the NIM, which it sounds like you guys expect compression to moderate relative to the first half of the year based on what you're seeing in the first few weeks of the third quarter and the end of the last quarter, I should say?
Paul Nungester: Yes, Mike, you got that right there. So we are projecting a minimal additional growth on the asset side through loans and a good portion of that, as we've seen in the last couple of quarters even comes from the existing commitments on construction lines and things like that, but those are slowing down as they've been burning down. Right? But we've been cutting back on production in mortgage especially in -- even in some extent on the commercial front, although we're always looking for the best deals there. So, we've definitely had the commercial teams especially understanding the environment in terms of pricing loans. Right? To get the appropriate spreads. So, thinking about our incremental cost of borrowing being our kind of base these days in the -- definitely starting with a fire there and then the spread on top of that. So, new loans coming in the front door and the seven, eight, even nine to some extent, but also trying to focus a lot on the C&I piece of it instead of the fixed or adjustable. So, we've been making good progress on that, I think it's in the 40% for the origination front on our commercial in terms of the C&I business there and obviously those would continue to float up if rates were to continue to increase from here as well. In terms of overall NIM then, Mike, if we maintain what we just said in terms of the asset growth and bring those in at an appropriate spread, as well as succeed on some of our initiatives on the deposit front and most importantly the recent trends, while we had a lot of mixed migration in the quarter, it was predominantly early in the quarter. Our monthly NIM was within a few basis points of each other, April, May, and June. So that migration had an early impact and then kind of settled down and if that were to continue that would help with some stabilization to NIM. Our expectation would be that some of that would continue, so we could see a few more bps out of it but absent major movements.
Gary Small: Mike, we will have two unique items that are true for third and fourth quarter that weren't true so much for the first two quarters. One well, you'll see some margin movement just based on the FIG transaction converting all that to cash and what it does relative to our liquidity and the 5% borrowing that Paul mentioned, and also the hedging activity that we got into. Certainly we're looking at in today's environment, meaning this month with rates as they are and so forth, that's a $400,000 plus a month sort of improvement to the numbers. So when we looked at the second half, the combination of those two, probably $4 million more in net interest income. It hasn't got so much to do with portfolio loan balances and the mix changes of the deposit base, little tailwind there.
Michael Perito: Right, right. No, that's all really helpful. I guess just is a kind of a high level follow up, Gary. I mean, at what point does it make sense? I mean, does the balance sheet growth not turn back on until you guys can comfortably be generating kind of 3% incremental spreads, like to get that margin back up to 3% and above? I mean, does it make sense to just hold flat until the environment is kind of supportive of that or how do you guys think about that nature? Because I mean, you guys are still -- you still have the same team of lenders right there, there's still opportunities to take share, I mean, I imagine that hasn't changed, it's just you guys being a little bit more deliberate in what you're willing to look at. So I guess, when does that switch or why would that switch turn? Is it just the incremental spreads? Is it macro? Is it credit? Like what are some of the considerations you guys take as we think about that moving forward?
Gary Small: The spreads are a little bit more of the results of the activity. We do have other constraints that we put on ourselves, like our loan to deposit ratio and so forth. We've got a reasonable amount of borrowed money right now through a Federal home loan bank and we're reducing brokered and we're trying to be conservative, if you will, relative to how much we would move the balance sheet before we were feeling stabilized in those categories as well. So, it's more about capacity that we'll free ourselves up with and we mentioned we're stepping, have stepped away from the mortgage business and so forth that will be-- create capacity for the commercial group. Retail, indirect auto and so forth, those are the things you step away from in a time like this and we have, and you see that in the consumer numbers trending slightly down and that's the way we'll create the capacity. And I think, as Paul was mentioning, the loans are going on at 8%, so even at the worst borrowing rate we're still making 3% on it. It's more about some of those other balance sheet factors that we want to make sure we get in a nice predictable and safe position or maintain that position. That's probably our first thing on our mind when we're thinking about growth. You know, we had 20% at loan growth last year, so we really got to digest and get the right side of the balance sheet in as good a shape as we got the left side of the balance sheet in. So…
Michael Perito: Makes sense. Just two last quick ones from me. You guys kind of talked around a little bit, but are you willing to share any kind of budgeting expectations around mortgage gain on sale for the back half of the year? And then just secondly, I know that the insurance sale impacted the tax rate this quarter. Paul, do you have kind of an accrual rate for the back half of the year that you guys are running that we should be using? Thank you.
Paul Nungester: Yes, I'll answer that last one there first real quick, Mike. So when you exclude the impact of the FIG transaction, our effective tax rate is around the 19% level consistent with kind of our historical patterns, right?
Gary Small: Yes, that was an -- the incremental rate on the FIG transaction because of the difference in tax basis and so forth, it was like 25%.
Michael Perito: Yes.
Gary Small: That's how we back into the $0.68 normalized.
Michael Perito: Yep.
Paul Nungester: And then on the mortgage piece, Mike, you had another…?
Michael Perito: Yes, mortgage.
Paul Nungester: Mortgage. Oh, Mike, I think if you took the two quarters just reported and split them into half that would be about your expectation going forward for the following two quarters.
Michael Perito: So about 3, so about 3 million bucks in the back half the year, give or take?
Paul Nungester: Give or take, yes.
Michael Perito: Yes, all right. I really appreciate it guys. Thanks for all the color and for taking my questions. Yes, yes, yes, I got it. Thank you, guys.
Paul Nungester: Thank you.
Gary Small: Thanks, Mike.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Brendan Nosal of Piper Sandler. Your line is open. Please go ahead.
Brendan Nosal: Hey, good morning guys. Hope you're doing well.
Paul Nungester: Good morning, Brendan.
Gary Small: Good morning.
Brendan Nosal: I just wanted to walk through your thought process behind adding the hedges this quarter after rates have already risen so much? Yes, I guess on the one hand, you get an immediate interesting income benefit today with lower [ph], should rates move higher, but on the other hand, [indiscernible] limit of rates fall, you're kind of giving up a little bit of the recapture on the margin with rates down as well. So, just kind of walk through the puts and takes and why now is the right time to add these hedges?
Gary Small: I'll let Paul comment on that and then Brendan, I may have a follow-up.
Paul Nungester: Thanks, Brendan. Yes, it's a fair question. Couple things there, as you noted, yes, we get the immediate accretion right, out of that trade, which is a benefit to NIM and PPNR there. Plus it helps stabilize NIM as I alluded to earlier. It does give us some protection as rates continue to rise here. You know, we're expecting to hear at 25 bps from the Fed here soon and we'll see if there's any more from there or if they truly settle it in, but stepping back from it, Brendan, the issue with it is if you're going to do it, you have to do it when you've got the benefit. So the opportunity, well you can always do a swap trade, right? The spreads weren't there. The differences between the current and the expected future curve weren't where they were when we did the execution. So we could have done it certainly quarters earlier or even a year earlier, but the benefits weren't there at that time. It wasn't until there was a spread between what the market was expecting in terms of near-term rates possibly dropping and what the Fed continues to talk about in terms of hire for longer. That created the opportunity. That's when we stepped in. We got the immediate benefit which is almost $5 million annualized here which will be a near-term benefit and then if it does continue to rise, we'll just continue to benefit from that even more. And then in terms of our exposure, that's why we kept them short, right? So we didn't go out too long on this. We kept them in the two to three-year range for now to deal with the near-term horizon that we foresee these rates being at the elevated levels and those will roll off then. And if rates have fallen by that point, which is certainly a long-term expectation for us, then we'll just have the old one which will be back into a positive position at that point and continue to benefit on that side.
Gary Small: Yes, I think when we look at the tea leaves now, we do believe in hire for longer as the better position and this first year we'll be in the money. And to the extent the swap markets and the market expectations of what it looks like in year two, three come to bear the swap itself will lose its positive aspect, but the rest of our portfolio will benefit in such a great way from the retreat, if you will, of that, it will neutralize it, and then by the end of the second year we'll all just be left with the lower rates that come from that high beta dollars. So, puts and takes on that. In a perfect world, if I had my wizard hat on back in the first quarter of 2022, I would have gone underwater and paid for 500 basis points of protection, but to Paul's point, as we were going through the year, the swap curve versus our balance sheet at the time, it never seemed to have advantageous enough to do it. I will also say that we were probably about six weeks later on the trade than we initially planned to be. We were ready to move and we lost our price window, waited another couple, three weeks before we executed to see if it would come back. But it was never going to be before the beginning of April for us.
Brendan Nosal: All right, okay. I really appreciate the thoughts there, on a more complicated [indiscernible]. Maybe one more follow up on the same topic. Does this hedge materially change how fast you would recapture AOCI on the securities book in a rates down scenario, presumably rates down the fair value of these hedges would decline, so how much of securities you captured does that counter?
Gary Small: Yes, no, the swaps themselves don't make a big difference to the potential AOCI accretion that's predominantly from the securities book. We've run some numbers and we're looking at if rates stay where they're at, if the curve plays out as of the June, 30 curve, we've got potential accretion of 23% of the AOCI pool, most of that from securities, and that'd be another $1.80 of tangible coming in over the next six quarters by the end of next year.
Brendan Nosal: All right, perfect.
Gary Small: Because we flatten a piece in our debt to reflect that.
Brendan Nosal: Got it. I'll take a peek. Thanks for taking the questions and congrats on the quarter.
Gary Small: Thank you.
Paul Nungester: Thank you very much, Brendan.
Operator: Thank you. As there are no additional questions waiting at this time, I'd like to hand the conference call back over to Gary Small for closing remarks.
Gary Small: Well, again, thank you all. It's been another interesting quarter for seasonal results. I appreciate your interest in the organization and look forward to more good news next quarter. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's Premier Financial call second quarter 2023 Earnings conference call. Thank you for joining. You may now disconnect your line.